Operator: Good afternoon, ladies and gentlemen. Welcome to The Beachbody Company's Third Quarter Earnings Call. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. I'll now turn the conference over to your host, Bruce Williams, Managing Director of ICR Investor Relations. Please go ahead.
Bruce Williams: Welcome everyone, and thank you for joining us for our third quarter earnings call. With me on the call today are Mark Goldston, Executive Chairman of The Beachbody Company, Carl Daikeler, Co-Founder and Chief Executive Officer, and Marc Suidan, Chief Financial Officer. Following the prepared remarks, we'll open the call up for questions. Before we get started, I would like to remind you of the company's Safe Harbor language. The statements contained in this conference call, which are not historical facts, may be deemed, to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements, due to a number of risks and uncertainties, all of which I describe in the company's filings with the SEC, which includes today's press release. Today's call will include references to non-GAAP financial measures, such as adjusted EBITDA. A reconciliation of these non-GAAP financial measures, to the most comparable GAAP financial measures, is available within the earnings release, which can be found on our website. Now, I would like to turn the call over to Mark Goldston. Mark?
Mark Goldston: Hello. Good afternoon. Thank you for joining us today. I'm thrilled to be part of this exciting journey and to contribute my extensive experience, to the company's success. I want to make three key points that, are really important for investors and analysts, to gain a perspective on where we are, and where we're going. First, as you know, we intend to execute a reverse stock split later this month. This should get this stock into a range that, will attract institutional investors. Second, and critically, we must lower the break-even of the company. We previously have taken out $125 million in costs, and Marc Suidan, our CFO, will talk about an additional $40 million that we've identified in cost savings. We expect to realize these additional savings in 2023, bringing the total to $165 million in aggregate, annualized cost savings since 2021. And third, we have begun the implementation of the turnaround plan, we architected after my arrival in June of 2023. As part of that plan, we'll be aggressively pursuing ways to win back some of the 14 million people in our extremely valuable CRM base, who are either former subscribers or qualified leads that were added to our database since 2016. In addition, we fortified the product offering, for our direct sales organization with the addition of GrowthDay. This was developed by the dynamic, world-renowned Brendon Burchard and we're aggressively pursuing outside partnerships and additional direct-to- consumer channels, to help diversify our beta and create additional revenue streams, from those untapped channels. Last quarter, I told investors that our main focus, is on the generation of cash in the near to midterm, and we're developing programs designed to deliver on that goal. As a result of the $165 million in expected cost savings, along with the key elements of the turnaround plan I just spoke about, we believe there's a clear path to becoming cash flow positive, which would indeed be a milestone, for the turnaround effort at BODi. BODi possesses invaluable assets, including what we believe to be the world's most extensive digital fitness library, a valuable range of nutritional products, a massive database of current and past customers, and importantly, a highly skilled leadership team. Last quarter, we developed a plan that prioritized profitable revenue over growth at all costs, and have drastically reduced timeframe for return on investment capital. If you look at the P&L of the company, you can see that scale is really not our primary concern. We believe, we've got the girth and the scale, to be profitable in the revised cost structure that we've created, and the potential for generating operating leverage during the course of 2024 exists largely as a result of those major cost-saving conditions. I've now been here for five months, and I am more convinced than ever that, we've got the products, the team, the total adjustable market size or TAM, and the turnaround plan to return BODi to its position as a dominant, highly profitable company, but one that is architected in a much more efficient manner. As I stated on last quarter's earnings call, turnarounds are not linear, and there will definitely be some bumps in the road. But our turnaround plan has been meticulously crafted, and we're making good progress. In the coming months, you should expect to see additional positive, and purposeful changes taking place in the company. Our products are world-class, and I believe this, because I'm a fitness enthusiast, and I've got significant experience in this athletic space with leading companies like Reebok, L.A. Gear, Converse, and Athletic Propulsion Labs, or APL. This is my wheelhouse. Now that we're in the process of focusing on improving the balance sheet, and implementing strategies, to expand our sales and marketing ecosystem, I firmly believe that we're on our way to driving more profitable revenues and importantly, building cash. I'm focused on helping the team optimize our LTV to CAC to additional monetization opportunities that, will drive cash and profitability. We have significant opportunities in front of us, and we're just getting started. You'll note that on our investor relations presentation on our website, we expect our selling and marketing costs, as a percentage of revenue to decline 1,000 basis points to 45%, during 2024. Just take a moment to reflect on this change. This 1,000 basis point reduction, should result in an additional 10% of revenue, flowing through to the bottom line in 2024. That's a game changer, and it's going to be critical in helping us, to be cash flow positive in the future. I now like to turn the mic over to Carl, who will give you more insight into the company's transformation. Carl?
Carl Daikeler: Thank you so much, Mark. And let me start by saying how great it is to work with Mark as Executive Chairman and have the benefit of his experience turning around public companies and strategizing, how we can unlock the value we've created, over the last 25 years, which maybe we've taken the underlying value of the business for granted a little bit, and it's such a great partnership to work with Mark. Okay. So let's talk about the third quarter. First, a high-level overview of results and operational highlights. Then Marc Suidan, our Chief Financial Officer, will give additional detail on Q3 financial results and guidance for Q4. We made significant progress implementing our turnaround plan this quarter, where our primary focus, is on cash flow generation and creating new incremental revenue opportunities. Q3 revenues and adjusted EBITDA, were within our guidance range. And while our overall digital subscriber count, decreased by 10% sequentially to 1.38 million in Q3. As we mentioned last quarter, the more meaningful metric is our premium digital subscription BODi, spelled B-O-D-I, which grew by 27% in Q3 over Q2, to exceed 900,000 subscribers at the end of Q3. And you've no doubt heard of the emergence of GLP-1 weight loss drugs, which have generated a considerable amount of attention and even question, to their effect on demand for services like ours. We're actually encouraged about treatments that can help some of the 74% of Americans that are overweight or obese, but we also recognize that a chemical solution, is only a single step towards sustaining a healthy lifestyle and does nothing to improve skeletal muscle mass, which is critical to health and functioning in the world. It's really vital that people supplement these weight loss drugs, with healthier lifestyle choices, including fitness and nutrition. That's where we come in. BODi's approach to health esteem, helps people feel good as they create sustainable, healthy habits. Honestly, the significant investment people can make in a pharmaceutical solution, is wasted without lifestyle change. And we have the lifestyle solutions for GLP-1 users, including a broad array of structured, step-by-step fitness and nutrition programs, plus personal development and mindset tools. As a result, we don't see GLP-1 treatment as a headwind for us, but rather a very significant tailwind, as it brings the importance of reducing obesity to the forefront and makes lifestyle change, an important component of that decision. That's just another reason that we're excited about how our position in the market puts us in a unique position to capitalize on these long-term industry tailwinds and our turnaround plan, aligns with responding to these tailwinds. When we started this turnaround, there were three key pillars to our transformation. First, we had to massively re-architect our cost structure. By end of 2023, we expect to realize 165 million in annual cost savings, and we continue to carefully scrutinize capital allocation, to make the company as cost efficient as possible. Second, we initiated a reinvention and simplification of our digital platform, which was completed earlier this year. Since the introduction of our premium digital platform, subscribers continue to renew from the former Beachbody On Demand subscription to the new BODi subscription at a 60% rate, which exceeds our original expectations. Third, we need to restructure sales and marketing with a focus on delivering higher cash-generating revenues and lowering customer acquisition costs. So let's use this call to detail our progress on that third pillar. Overall, there are five key initiatives that we're executing against, which we believe will drive new memberships and generate profitable revenues. First, partner network activation. Restoring momentum to our coach and partner network is a central initiative, to our turnaround plan. As our partner network is, our largest and most effective go-to-market strategy. The initiative we call the BODi Growth Game Plan, is designed to help partners improve the overall productivity of their teams, as they help current and potential customers, achieve an improvement in their health esteem. Health esteem is the category of the industry, which shifts the focus from a results at all cost mentality to that of feeling good, at every step of the process to achieving an extraordinary lifestyle transformation. And that includes adding positive mindset and high performance habits to the equation. To that end, we're excited by the appointment of New York Times bestselling author and motivational speaker, Brendon Burchard, to the role of Chief Growth and Performance Advisor. Brendon is famous for being one of the world's leading high performance coaches, and he's assisting the company's partner network in achieving optimal performance, so more people unlock the potential, of this supplemental income opportunity for themselves. Our relationship with Brendon is built around a revenue sharing partnership to incorporate Brendon's GrowthDay app into our product offering. That's an additional new revenue opportunity for the company and our partners, and that kicks-off in just a few days on November 9. In addition, we recently announced that early next year, we are implementing new results-oriented compensation incentives for our partners, which will reward high performance, especially for new partners, while aligning the overall compensation structure with generating profitable revenues. Second, customer database reactivation. We've begun aggressively mining our customer database of over 14 million prospect email addresses. We started testing our broader database mining campaign in August, with special offers and while it's still early in the process, the opportunity to activate this massive database with minimal reactivation costs, can have significant upside. We'll continue to refine and expand this initiative and update you on our progress in the upcoming quarters. Third, performance marketing. We've been deploying more efficient direct marketing tactics that, are producing stronger results. For instance, we've optimized our media placement, resulting in a 25% increase in our conversion ratio in Q3 over Q2, bringing us to 2.5%, which is the industry norm. Also, this quarter, we launched affiliate distribution with Rakuten and Cartera, offering consumers new opportunities to earn rewards when they shop with us. And we launched the Refer a Friend pilot, enabling us to give incentives, to those that refer friends to subscribe to BODi. Fourth, our free preview tier. Last quarter, we announced our plan, to introduce a new free preview tier to give prospects better visibility to the superior experience of structured programs, which leads the user to a step-by-step process to get real, healthy results. This tier will let people try over 120 samples, of our structured fitness programs and nutrition plans, plus our personal development content, and see the real distinction of our approach to lifestyle transformation. That content has been locked behind the paywall until now, which you can imagine has been an impediment to converting new prospects into subscribers. The launch of BODi Previews is scheduled for mid-November, and let me elaborate on how significant this opportunity is. Like I said, currently we're converting 2.5% of our visitors into paying subscribers, which is an industry standard. But with our popular content like P90X, INSANITY, 21 Day Fix, and over 120 programs, we believe the free preview model, including a version, which will attract traffic on YouTube, gives us an opportunity to showcase, our most powerful asset, our structured content, and introduce more people to our proven approach. We believe this new tier, will drive a higher conversion rate of visitors, to paying subscribers while attracting even, more prospects to our platform. And fifth, Amazon. We're excited to expand our presence on Amazon. Although BODi products, have been previously sold on Amazon, we've never treated the platform as a real sales channel for us. By partnering with one of the largest Amazon retailers, we'll broaden our nutrition and fitness offerings, and we expect to capture the latent demand of significant search volume for our brands on Amazon, as well as optimizing our product listings on the platform. This is just getting started, as we go into the fourth quarter. So, we'll provide updates on future earnings calls. All this is to demonstrate that we are laser-focused on generating, profitable revenues and expanding the visibility of our 25 years of content, to this massive TAM, which has maybe only heard of P90X. As proud as we are of being one of the few health and fitness companies, to achieve this kind of critical mass over our 25 years, I'm actually more enthusiastic, about our potential over the next 25 years, with all these new initiatives. But for now, let me turn the call over to Marc, to walk through the specifics of our third quarter financials. Marc?
Marc Suidan: Thank you, Carl and Mark. And good afternoon, everybody. I am pleased to announce that in the third quarter, we met our guidance on revenue, adjusted EBITDA, and cash flows and operations. This is the eighth consecutive quarter that we have achieved or exceeded our guidance. I will now discuss our results for the third quarter along with our KPIs and then provide guidance for the fourth quarter. Revenues were $128.3 million, which was above the midpoint of guidance and 5% below the prior quarter. The year-over-year decline in quarterly revenue was 23%, down from 25% in Q2 and 27%, in Q1. The Q3 sequential revenue change, reflects the normal seasonal decline in the fitness industry. I will elaborate on each of our three product lines and given all the changes in the past year, I will focus my comments on sequential revenue performance. Digital revenue was $64.3 million, down 1% from $65.2 million in Q2. Our overall digital subscriber count is 1.4 million, down 10% from 1.5 million in the second quarter. Given the $179 annual price of the BODi subscription, the ARPU is now higher, and our stable quarter-over-quarter digital revenue is also supported by a partner count, which remained flat over Q2, a reminder that we have tens of thousands of partners selling our products. Nutrition revenue was $59 million, down 9% from $64.6 million in the prior quarter. Our nutrition subscriber file size is 177,000, down 10% from 196,000 in the prior quarter. In Q3, we launched a new monthly digital nutrition bundle called the $99 Rebel at a competitive introductory price. This bundle offers strong value, and we believe will resonate with consumers in this macro-inflationary environment, without sacrificing profitability. We believe this new bundle and the broadening of our sales distribution channel, will stem the decline in nutrition. Connected Fitness revenue was $4.9 million, down 3% from $5.1 million in Q2. We delivered 6,500 bikes versus 5,500 bikes in the prior quarter, an 18% increase. We continue to see bike sales as a valuable lever to drive higher LTV across our subscriber base as bike customers show more engagement and lower churn. The higher bike volume is driven by promotion. Moving to gross margin. We achieved a gross margin of 58.5% for the quarter, which decreased 460 basis points, from the same period last year, and 280 basis points below the prior quarter. Digital gross margin was 74.5% for the quarter, which is 320 basis points less than the same period last year. Compared to the prior quarter, digital gross margin decreased 50 basis points. The lower gross margin is due to sales deleverage. Nutrition gross margin was 54.7% for the quarter, which is a 50 basis points decrease from the same period last year. Compared to the prior quarter, nutrition gross margin decreased 320 basis points, due to increasing cost of raw material and a product makeshift. Connected fitness gross margin was minus 105% for the quarter versus minus 42% a year ago, and compared to the prior quarter, connected fitness gross margin declined 35% this time. The margin difference is driven by bike promotions and accounting charges for inventory reserves. We have significantly reduced our bike inventory and are launching a new offer in December out of our existing inventory. The new offer will appeal to price-conscious consumers. It won't have the large screen, but will connect to iPhones and Apple Watches. Our strategy continues to be focused on selling bikes to generate cash and attract long-term customers with higher lifetime value. Next, our operating expenses were $104 million, representing a $37 million reduction from the same period last year, which is a 26% improvement. Cost reduction is a key pillar in our transformation, and we continue to evaluate our cost structure on an ongoing basis. From a fixed cost standpoint, which includes our overhead expenses and capitalized expenditures, we took out a $125 million in 2022, and are on track to take out an additional $40 million in 2023 for a total of $165 million. As we have stated, our cost structure is fine for significant operating leverage. Now let me walk through our three OpEx lines. Selling and marketing was 53.9% of revenue, compared to 56.1% in the prior year, and 56.7% in the prior quarter. As Carl detailed, the third key pillar of our transformation is restructuring our selling and marketing. We recognize that selling and marketing, which is our biggest expense, is higher than industry norms. So we have launched a series of initiatives that, we expect will reduce our selling and marketing expenses from approximately 55% of revenue to 45% during 2024. Let me explain the three main drivers of how we plan to get there. First, we announced on October 5 changes to our direct selling compensation plan. Second, for performance marketing, we are driving lower tech initiatives like Refer a Friend, new affiliate models and gifted. Third, our customer database reactivation strategy will drive new subscribers with minimal customer acquisition costs. We believe that these three drivers will lower our cash expenses for selling and marketing by approximately 1000 basis points in 2024. On a hypothetical basis, this should represent $50 million of additional savings on $500 million of revenue. This is a new and additional benefit that drives cash flow starting in January. Moving on to other operating expenses. Enterprise technology and development was 14.7% of revenue, compared to 15.5% in the prior year and 13.8% in the prior quarter. We have maintained our, spend as a percentage of revenue, but reduced the dollar spend by 27% from last year. We continue to streamline the technology and development costs while simultaneously improving our digital experience and enabling new functionality. G&A was 11.5% of revenue, compared to 11.8% in the prior year and 8.8% in the prior quarter. The dollar spend was down approximately 24% from last year. Our G&A increased as a percentage of revenue in Q3 over Q2, because of an increase in non-cash stock compensation charges. We continued to aggressively manage our G&A, looking for more cost savings. Net loss was $32.7 million, compared to a net loss of $33.9 million in the prior year, and a net loss of $25.7 million in the prior quarter. Adjusted EBITDA was a loss of $5.8 million, compared to a loss of $6.2 million in the prior year, and a loss of $4.8 million in the prior quarter. Our Q3 adjusted EBITDA includes a connected fitness inventory reserve charge of $3.4 million. Moving to the balance sheets and cash flows. Our cash balance was $38.2 million, compared to $58.7 million in the prior quarter. The decrease in the cash balance was largely driven by debt repayment of $15.3 million. Excluding the debt repayment, our cash balance declined by $5.2 million in Q3 versus $7.7 million in Q2 and $13.7 million in Q1. Our cash use and operations in the third quarter was $200,000 versus $3.7 million in the prior year and $6.5 million cash use in the prior quarter. Our net inventory was $31.7 million at the end of the quarter, down from $43.4 million at the end of the prior quarter, which represents a 27% reduction primarily driven by our bike inventory. We have successfully reduced our net inventory level for eight consecutive quarters and we continue to aggressively look at our demand and supply requirements. We do not plan on allocating additional capital to bike purchases. Our CapEx for PP&E was $0.5 million this quarter, a significant reduction from the $4 million in the third quarter of last year and $1.6 million in the second quarter of this year. Our CapEx for content was $2.9 million this quarter, an improvement from $4.2 million in the prior quarter. It was $3.1 million in the second quarter of this year. So total CapEx in Q3, was $3.4 million, and that should be our approximate run rate in the coming quarter. The CapEx improvements have been driven by streamlining our content production, and our technology staff. We continue to manage our cash use and are reducing cash needs, despite the decline in revenues as we focus on positioning the company to generate positive cash flows. In fact, when you look at our year-to-date cash used in operations and investment activity, it was $24 million. That is down from $60 million last year and $248 million in 2021. We will continue down this path of dramatically improving our use of cash as we reposition the company to generate free cash flows. Turning to our outlook for the fourth quarter. As a reminder, our guidance is based on where we stand in our transformation journey. As you know, Q4 is seasonally the slowest quarter for the fitness industry and for our company. As a result, we expect fourth quarter revenues to be in the range of $105 million to $150 million. We expect a net loss in the range of $25 million to $30 million and adjusted EBITDA loss in the range of $1 million to $6 million. Now I will turn the call back over to the operator, to open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from the line of Darin Tuttle from Singular Research. Please go ahead. Your line is now open.
Darin Tuttle: Yes, thanks, guys. And a great quarter here. My question comes up from the debt payment here. So that one - this latest debt payment so that was a use of cash. Is that sort of a one-off plan, or is there going to be extended plans in the following quarters to have an accelerated debt repayment schedule? Thank you.
Marc Suidan: Hi, Darin. This is Marc. That was a one-off in Q3. We paid down $15.3 million of the debt. We continue now on the regular schedule of the debt, and the total debt carries out through February 2026.
Darin Tuttle: Okay. Okay. And was that just, you know, was that just part of cleaning up some of the balance sheet and opening up some cash flow for following quarters? Or was that more just like a strategic allocation where you thought paying down the debt was the best incremental return for the dollar?
Marc Suidan: Yes, listen, we spoke with our lender and if you look in early August, we filed information relating to debt modification covenant on. So that was our part of that negotiation with them, where we changed the liquidity and revenue covenants on the debt. And given our outlook, we're managing with the capital we got on hand and our plan allows us to execute against that. But for now there's no other plans to further pay down the debt.
Darin Tuttle: Okay. Thank you for that.
Operator: Thank you. There are no additional questions waiting at this time. So, I'd like to pass the call back over to Carl Daikeler for any closing remarks.
Carl Daikeler: Okay. Thanks for joining us today, everybody. As we continue to execute on our turnaround plan, I want to leave you with the four key takeaways from the call today. First, we're widening the sales aperture, to expand our sales channels and driving more profitable revenues, through performance marketing, our launch of the BODi previews free tier, and Amazon. Second, we acknowledge that it's a difficult environment for most direct selling models, but we're increasing momentum throughout our network, and with our partnership with Brendon Burchard and the introduction of the GrowthDay Personal Development app this week. And we're aligning performance incentives with partner productivity and our overall financial goals. Third, we believe we're well positioned in an environment, where there's increased focus on weight loss with our unique approach to structured fitness, nutrition, and personal development tools, all at a great value to the consumer. And fourth, we're moving fast and continue to be focused on generating profitable revenues, driving free cash flow and building cash. I want to thank all our stakeholders for believing in this vision and for supporting The Beachbody Company through this process. Our work is extremely important, and I look forward to demonstrating significant progress in our next call. I will add that investors and analysts, can reach out directly to Marc Suidan, our CFO, with any requests for meetings with management or with Mark Goldston, and we will keep you posted on our activities going forward. Thanks again, everybody. Appreciate you.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.